Operator: Good morning, ladies and gentlemen, and welcome to the Capstone Mining Corp. Fourth Quarter Results 2019 Conference Call. [Operator Instructions]. This call is being recorded on Wednesday, February 12, 2020.  I would now like to turn the conference over to Jerrold Annett, Vice President, Strategy and Capital Markets. Please go ahead.
Jerrold Annett: Thank you, and good morning. I'd like to welcome everyone on the call today. The news release announcing Capstone's 2019 fourth quarter financial results is available on our website. And if you're logged into the webcast, we will be advancing slides, which are also available on our website. With me today are Darren Pylot, President and CEO; Raman Randhawa, Chief Financial Officer; Jason Howe, Vice President of Corporate Development; and Mike Wickersham, General Manager of Pinto Valley Mine. Following our brief remarks, there will be an opportunity for questions.  Comments made on the call today will contain forward-looking information. This information, by its nature, is subject to risks and uncertainties, and actual results may differ materially from the views expressed today. For further information on these risks and uncertainties, please see Capstone's relevant filings on SEDAR. And finally, I'll just note that all amounts we discuss today will be in U.S. dollars unless otherwise specified.  Now I'll turn the call over to Darren Pylot.
Darren Pylot: Thank you, Jerrold, and good morning, everyone. Before we start, I just want to note the title of this presentation: Transition Completed to a New Capstone. Our story has been simplified. We have two operating mines, Pinto Valley and Cozamin, that collectively deliver 20% growth and 10% lower cost by 2021. They both have tremendous upside which we are focused on surfacing with low-risk capital spending and quick payback. We have cut nearly $30 million out of our cost structure and have a strong balance sheet to execute on numerous organic growth opportunities that we now have before us.  For those of you not logged into the webcast, we're on Slide #4 of the presentation. Overall, we ended the year above the midpoint of production guidance; and on C1 costs, we were below the low end of guidance. Raman will further expand on these results later in the call. I will share with you the key advancements we made at both Pinto Valley and Cozamin in Q4 to position both mines for near-term growth.  Moving on to Slide 5 of the webcast. At Pinto Valley, we took some additional downtime in November to advance maintenance and to make some modifications in our fine crushing plant. We decided to do this, so that it will be possible to perform an operational test in December, which would push throughput levels beyond previously understood limits.  By examining where all the bottlenecks exist through our entire plan, we can then generate the necessary projects or operational adjustments to optimize performance. These results in December were excellent. We were able to achieve 18 days above 60,000 tonnes per day, achieved an all-time weekly average record of 63,500 tonnes per day and also achieve a record-breaking daily throughput rate of 70,300 tonnes per day.  The ore that we processed for all this testing was of normal hardness and normal characteristics that we typically see at Pinto Valley. So we're really confident that the data from the test we generate -- will generate the right projects for us as we look to lock in that type of performance at these higher levels.  So as a result of the test work done, we have launched a PV3 Optimization Study that will focus on a series of low-CapEx and quick-payback projects that collectively will allow us to maximize performance and cash flows at the operation. We expect to report the results in the second half of this year. Phase 1 of this optimization has already begun with the approved $15 million upgrade to the shelf, which is installing 2 secondary crushers, screen decks and two ball mill shells. This 1-year payback project is expected to result in 56,000 to 57,000 tonnes per day in 2021.  Slide 5 gives some color on various ideas that we are already looking into like blast fragmentation, new tertiary crushers and screens, verti mills to add grinding capacity and more concentrate capacity in the flotation plant.  Moving to Slide 6. 2019 was a transformational year for Cozamin. The excellent work from our exploration team has resulted in announcing some of the best drill results the mine has ever seen. Cozamin is a Tier 1 mine and a cornerstone cash flow asset for Capstone. As I've said before, we've operated it now for over 13 years, and it looks like the best is yet to come at this mine. We expect to release an updated mineral reserve and resource estimate and a technical report in Q4 of this year.  The development of the one way ramp continues to be on schedule for completion by the end of this year, and the raisebore project is also progressing well and expected to be completed in early spring.  I'll now turn the call over to Jason to give you a brief update on Santo Domingo.
Jason Howe: Thanks, Darren. Moving on to Slide 7. Our Santo Domingo project is fully permitted and shovel-ready. During 2019, we received all the required construction and environmental permits from the Chilean authorities, along with an approved mine closure plan. The project continues to receive local government and community support. The strategic process to rightsize or monetize our ownership is still ongoing, and we will provide more information when available.  Prior to the end of this quarter, we will file an updated feasibility study, which will include the economic assessment to produce the cobalt sulfate that is used directly in battery manufacturing for electrical vehicles, energy storage and other high-growth applications. The noteworthy developments that will be reflected in the news release in the following weeks will include recently completing pilot plant and metallurgical test work confirming quality concentrate, with copper concentrate over 29% and iron concentrate over 66%. We negotiated an EPC fixed-price contract for the processing plant as well as firm quotes for mobile equipment. We also negotiated a power purchase agreement with a major Chilean power company, and we have received indicative offers for water from Chilean diesel operators.  Now with regards to the coronavirus, novel CoV19, while it's certainly having an impact on the global supply chain, as I'm sure you're all aware, Capstone's exposure is currently limited because we had entered into multiple offtake agreements with smelters and traders that allow us the option to ship to Japan, Korea, the Philippines, domestically to U.S. smelters or blend in Mexico.  I will now turn the call over to Raman to give you a brief update of our results.
Raman Randhawa: Thanks, Jason. Moving on to Slide 8. Focusing on Q4, we produced 35.4 million pounds of copper, slightly below our expectations due to downtime at Pinto Valley to bring ahead maintenance to perform the operational test in December. We finished the year strong with a total of 153.4 million pounds of copper at C1 cost of $1.78 per tonnes payable, lower than our cost guidance of $1.80 to $2 per pound.  Net income of approximately $13 million was positively impacted by higher revenue as Q4 sales of 40 million pounds were higher than our production of 35 million pounds. In addition, our results included a positive tax recovery of $23 million as a result of recognizing a future tax asset for use at corporate tax pools. Our adjusted net loss backs out the favorable impact of the future tax asset.  Next slide, Slide 9. I'm proud to announce the -- I'm proud to announce that Capstone has now removed $27.5 million of sustainable annualized costs out of the business when compared to 2018 burn rates, achieving our target of $25 million to $30 million. Pinto Valley achieved an additional $2.5 million in Q4, bringing their year-to-date total to R15 million, bringing down their annual property costs from $230 million to an annual run rate of $215 million, which equates to a reduction in overall site operating costs of approximately $0.80 per tonne milled.  We expect our tonne -- per tonne milled cost to further decrease in 2021 upon upgrade of the secondary crushers which will improve our plant throughput. Compared to 2018, Pinto Valley produced about the same amount of copper at $15 million lower OpEx spending, which resulted in a $0.22 per pound lower ASIC. Also shown on Slide 9, we have industry-leading, lowest G&A cost now. We have moved to a lean, decentralized operating model at the beginning of 2019, which reduced our G&A without depreciation from $18 million down to $14 million, with a target for 2020 of between $12 million to $30 million, which equates to $0.08 per pound.  Focus for 2020 will be the capital investments at both mines, which will, in turn, grow production by 20% and reduce our costs even further by 10%.  And with that, I'll pass it back to Darren to talk about our upcoming catalysts for 2020.
Darren Pylot: Thank you, Raman, and we're now on Slide #10. Looking ahead to 2020, at Pinto Valley, as previously mentioned, we have commenced that Phase I study of the PV3 optimization, with the installation of the first of the 2 secondary crushers and screen decks going in, the first being installed in late March or, at the latest, early April.  For Phase 2 of the PV optimization, we'll be analyzing the results of that test work in December and identify these low-capital projects or operational tweaks to boost the performance even higher. Currently at Pinto Valley, we're also working on completing the PV4 expansion study at 100,000 tonnes per day or plus case, and this will be announced in the second half of 2020. At Cozamin, a level of confidence, as I said, is expected post expansion production increasing to between 50 million and 55 million pounds of copper and 1.5 million ounces of silver by 2021 and beyond. And this confidence continues to increase as we remain on track to complete the 1-way ramp for the end of 2020.  With the Cozamin drilling program, we continue to target the release of an updated mineral resource and reserve by the end of this year. And work on Santo Domingo's updated technical report, as Jason mentioned, including an economic assessment of the cobalt opportunity is very near completion. And we expect to have those results out very shortly. On the next slide. In conclusion, we're very excited about Capstone's future. Our strategy as we look to grow involves prudent capital investment to increase net asset value per share. We've been very fortunate to identify small CapEx and big impact projects, like the $5 million 1-way ramp that will lead to a 50% copper and silver production growth increase at Cozamin starting next year.  The $15 million Phase 1 optimization project comes with a 1-year payback and will position Pinto Valley well next year within -- with higher throughput and lower costs, as Raman mentioned. Phase 2 is expected to generate a number of these similar high-impact projects with the ultimate goal of realizing sustainable performance like we mentioned in the test work in December.  With that, we're now ready to take questions.
Operator: [Operator Instructions]. Your first question comes from the line of Dalton Baretto from Canaccord.
Dalton Baretto: I'm intrigued by this experiment at Pinto Valley in December at this optimization plant. Can you talk a little bit about what went right in December compared to your normal operating procedures? And then maybe what you need to do to make that run rate sustainable. And then maybe lastly, just what and how much you need to invest to get up to 70,000 tonnes per day.
Mike Wickersham: This is Mike Wickersham. Thanks for asking your question. I'd start with saying that December was a real eye-opener for us. We have never seen those kinds of production rates before in this facility and what unlocked that capacity was 2 things. Primarily, it was better fragmentation and blasting in the mine, coupled with that value chain uptime and capacity that came from getting the maintenance strategy right in November. So if you couple getting the right funds generated in the mine with availability and capacity on their existing equipment, you'll see more days like we had when we built those records later in that month.  Our challenge is to find out how can we get the value chain to perform reliably, more consistently and that's where our 2020 CapEx investment plan is all about. So as I look forward to 2020, we have a schedule for upgrading 2 of our secondary crushers with screen decks to go along with that. We're upgrading 2 of our ball mill shells, and that will put us in a position where we'll be running at those higher run rates more consistently that we enjoyed in December. This is a year for us to invest and build that capacity.
Dalton Baretto: Okay. Then just maybe my last question. In terms of incremental investment to get to 70,000 tonnes per day and beyond, what are you guys thinking there? What -- how much you're going to invest? Where are you targeting it?
Mike Wickersham: Thank you. What we're doing is that we're going to spend some time between now and the end of second quarter to build that plan and really understand how we can unlock more consistent capacity at that rate across the value chain. When we ran at those high rates in December, we found we have at least one good problem, and that is our concentrate handling was having a difficult time keeping up with the extra volume. That's one of the things we know we need to focus on and we'll be building that plan in the next several months.
Dalton Baretto: Okay. Great. And then maybe I can switch gears and just ask one question on Santo Domingo. So just given everything that's gone on first in Chile and then now with the copper price, are you guys thinking differently at all about the JV process?
Jason Howe: Dalton, no, the process continues as is. Yes, I mean, we've had some -- with the protest in Chile and now with the coronavirus. But I think we're in a good spot right now, and you'll see in the next coming weeks of how we've advanced the project in the last year. And as Darren talked about as well with the cobalt opportunity, we hope that opens up a few doors and we see a lot more interest around the project and around sharing infrastructure.
Operator: Your next question comes from the line of Orest Wowkodaw from Scotiabank.
Orest Wowkodaw: Just following up on Dalton's question about Pinto Valley. Obviously, you took some maintenance downtime in the fourth quarter to -- in order to do some of this test work. Do you think that's going to continue through this year as you work on the study? And I'm just wondering if we should think about or plan about certain maintenance shutdowns related to this in the first half of the year. And then also on the back of that, just curious if there's any variability to the planned grade profile at Pinto this year.
Darren Pylot: Orest, it's Darren here. The only downtime that we would assume this in the plan this year would be the installation of these -- of the crushers and screen decks, and obviously, the two ball mill shell replacements. Now we have scheduled that downtime into our guidance and forecast. So as long as that goes according to the plans that we have built, there should be no additional time that you would expect. Now we obviously haven't replaced those before, so it'll be -- obviously, we need to do that according to our guidance, but that's still in.
Orest Wowkodaw: Okay. But can you -- Darren, can you just maybe give us better detail of is that happening all in Q1? Or is it spread between Q1 and Q2? It sounds like there'll be some variability in the throughput as the year goes on.
Mike Wickersham: Yes, this is Mike Wickersham again. What you'll see is that's spread out across the course of the year. We'll have one of the crushers installed sometime late March, early April, another one will high sometime in perhaps September. And the ball mill shells will be scheduled with a couple of months breaking between as well, with the first one beginning sometime probably in June.  I think it's important to note that while these installations are going on, it's not going to take a general plan to shut down for this. One of the advantages with these new crushers is it's a very low-impact installation procedure because they fit to the existing pedestals for our current crushers. So we'll run at much slightly reduced rates while these installs are underway, but it doesn't require a full plant outage.
Orest Wowkodaw: Okay. Great. Can you give us what the planning mining grade is at Pinto Valley this year? And is there volatility in that through the year? Or is it going to be pretty steady?
Mike Wickersham: The grade is expected to be just over 0.3% copper this year. It's going to be one of the lowest years in the 5-year plan. That's why I'm excited about 2020. We've got this investment program at a time when we're working through some of the lower grade in the pit. We're going to come out of this very strong.
Operator: Your next question comes from the line of Stefan Ioannou from Cormark Securities.
Stefan Ioannou: Maybe just a sort of slight follow-up to Orest' question there on the last bit. Just with the grade in Q4 at Pinto Valley down at 0.3%. Was that just really a function of that current sort of grade profile coming into effect? Or did you actually sort of sort of work with that knowing that you're going to have the downtime in November and December to sort of just maybe not sort of necessarily put some of your better grade through then?
Darren Pylot: Stefan, it's Darren. No, that was actually as predicted and part of the mine plan and sequencing for the year of -- ending the year last year. And then just to follow-up on Orest' question. Obviously, we're budgeting -- the budgeting throughput rate is in the 53,000 range for this year. So when we -- if we do experience some longer-than-anticipated downtime, what we have in our back pocket, so to speak, is the confidence level that we can run the operation on days above 60,000 tonnes a day now. So we do have that. That test work is something that we can take with us and use if we need it. There's no question. We don't have the capacity to run at 60,000 tonnes a day or above for the full year yet because we don't have the flotation and grinding. But we can absolutely do that on individual days to make up or increase the throughput beyond what we're guiding and budgeting.
Operator: [Operator Instructions]. Your next question comes from the line of Craig Hutchison from TD Bank.
Craig Hutchison: My question is on Cozamin. I just wanted to get some clarity on zinc grades as we look forward into this year and into next year. Obviously, next year, the target is to go to higher grade, thicker stopes, more copper concentrated. But can you give us a sense of what it look like for zinc grades? Can we assume similar run rates that we have in the past?
Darren Pylot: Yes, Craig, it's Darren. I think the big difference is the zinc grade comes in lower than what we previously expected because our recovery rates have been much higher than expected. We were expecting 48% to 50% recovery in zinc, and we're getting between 65% and 70%, which is allowing us to lower the cutoff grade in the San Rafael zone and mine more of the zinc than expected. So that's why the grade is lower because we're recovering higher. And we do expect for the -- most of the zinc will all be mined out by the end of this year. Because, obviously, when we get into the expansion, we want to replace the zinc with the copper in the mill. It's obviously a higher return on copper than zinc. So the plan is to mine as much of that as we can this year and then will be mostly off of it going into next year.
Craig Hutchison: Okay. Perfect. And then at Pinto Valley, I think you guys noted in your outlook that you expect to have your plan of operations permit sort of mid-year. Are there any other outstanding permits? Have you received back your amended Aquifer Protection Permit yet? Or is that still outstanding as well?
Mike Wickersham: This is Mike. I'd have to go back and double check that out. I know that we have accomplished the completion of about 4 permits outside of the EIS. There may be a couple of small outstanding items with departments in the state of Arizona, but they're all progressing smoothly.
Craig Hutchison: Okay. So nothing major?
Mike Wickersham: No. The EIS is our main focus this year.
Operator: Your next question comes from the line of Pierre Vaillancourt from Haywood.
Pierre Vaillancourt: Just want a clarification. So you're looking to achieve 57,000 tonnes per day by 2021. So that's your stated objectives. Is there any upside potential there given the success you've had?
Darren Pylot: I think Pierre, it's Darren, with the mill shell replacement and the upgrade to the crushing circuit that will allow the right particle size to maximize these ball mills, I think if we could average that 57,000, 58,000 tonnes per day consistently for a year, which we've never done, we've never been close to that, that would be a huge upgrade. And then from there, we can look at -- looking at these smaller-capital, higher-payback projects such as, say, verti mills and the grinding circuit and more flotation capacity in the -- and grinding -- sorry and filtering in the flotation plant, we can look to build up those results. But yes, so there's definitely upside and we think we can do it with low-capital, high-return projects to add on to the crushing one that we already have.
Pierre Vaillancourt: Okay. So it sounds like the $15 million upgrade you're talking about, that's what gets you to 57,000 tonnes per day. And how is that reflected in unit costs and cash costs?
Darren Pylot: Well, as we initially, as we said, we expect the cost of the operation to come down an additional 10%, reflecting that increase in production of copper.
Pierre Vaillancourt: Okay. So basically, take it 10% down from what you reported this year, say?
Darren Pylot: Yes. Exactly. Yes. All of the money that we took out of the business this year over last year is sustainable going forward. None of that was a onetime costs. And we think it will go down another 10% from the baseline being this year with this higher throughput, and obviously, more copper production resulting from it.
Pierre Vaillancourt: So when you -- you're talking about a reduction of $27.5 million in 2019. Have you got a target for 2020?
Raman Randhawa: Peter, we haven't come up with a public target. But obviously, we're going to continue to further look at our costs through our business at Pinto Valley. That's part of that 10% reduction at Cozamin.
Operator: Your next question comes from Oscar Cabrera from CIBC.
Oscar Cabrera: Guys, can you remind me, on your environmental impact statement that you're looking from the U.S. Forest Service, is there an increase to -- or a change in location of the tailings dam? Or is it just raising the level of the tailing dam walls?
Darren Pylot: Yes. Oscar, it's Darren. Yes, we are just looking at some additional -- leasing additional land on one of the walls of our tailing dam and will be increasing up that -- getting that land to go higher with the tailings. And one corner of our pit do allow us to push back in the optimal directions to take advantage of the ore, we're asking for some ground around one edge of our pit. Those are the only two modifications. We're not looking to relocate tailings or any build -- any plant equipment or anything else. It's just adding a bit of ground around what we already have.  So we've already gone through the public comment period. It's closed. We're now gathering those comments and waiting for a response from the Forest Services. So the large lift on EIS has been completed, which allows us to be very confident that we will have it all wrapped up by the end of this year.
Oscar Cabrera: Okay. That's helpful. And given the current environment in the state with what happened to one of your -- one the other companies that has a development project, as you are going through the questions, is there anything that alarmed you or that could be a red flag for one of these district judges to have a different opinion than the U.S. Forest Service?
Darren Pylot: Well, I mean, we haven't got everything, Oscar, and there's always opposition to projects. But what I can tell you was over 90% of the comments and support have been in support, both at the town hall meetings and in response to the public comment period. So that's over 90% positive. And I would say that there's other projects in Arizona that have flipped, and over 90% would be negative. So we obviously employ 600-plus people. We're an operating mine, so it's much different than greenfield projects. And -- but that being said, we are obviously ready and expecting some opposition as there is with any mining project.
Oscar Cabrera: Yes. No, and it sounds like you're finding debottlenecking the mill, mine doesn't seem to be a bottleneck. In terms of the tailings capacity for PV3, what are you using in terms of throughput? And how many more years would you have available to you mining the -- if you have -- if you go ahead with PV3?
Mike Wickersham: Well, the objective of the test in December and then the results of the optimization will be to utilize the ore in our PV3 pit shelf faster. We're permitted to store all of that material on our tailings facilities. What we aim to do is to get us through the plant more quickly and more efficiently.
Operator: At this time, I show no further questions. I would now like to turn the call back to Darren for any closing remarks.
Darren Pylot: Thank you, everybody, and thank you for those questions. We appreciate your support. And again, please don't hesitate to contact us with any additional questions. Thank you very much, and have a good day.
Operator: Ladies and gentlemen, this does conclude Capstone Mining Corp.'s Fourth Quarter 2019 Results Conference call. Thank you for your participation. You may now disconnect.